Isabelle Ljunggren: Hi, everyone and a warm welcome to the BICO Earnings Call for the Third Quarter of 2021. Let's move on to the next slide with the agenda. Today, we have presentations from our three speakers, CEO, Erik -- CEO, Erik Gatenholm; CFO, Gusten Danielsson; and Business Area Director for Biosciences, Jonas Schondube. In today's presentation, we will show some films. We know that some of you are joining by phone. This session will be recorded and published at our website. So you can watch the films later. After presentations, we will move on to the Q&A section and I will be back with further instructions if you wish to participate. You can already now use the live and then Q&A to the right and post your questions and those questions will be released during the Q&A. And by that, I hand over to Erik to present the quarter.
Erik Gatenholm: Thank you so much for that introduction. Isabelle and thank you, everyone, for joining today. I am glad to have you with us. We have a slam pack agenda. We will go through, of course, our Q3 earnings, discuss the opportunities and challenges to find the business and continue on, of course, with a presentation from one of our business area to understand really the companies and the underlying drive for both growth and profitability for the next quarters to come. You can go to the next slide, please, Oscar. And the next one after that, please. Thank you. So to start off with, I want to say a big thank you. And of course, with great excitement, we have continued to show good growth for quarter three. Looking at our growth, we have come in at about 60% or 59% organic growth. If we're removing products that are no longer being offered that were offered during the pandemic period, we're showing an organic growth of about 80%. As a total growth for the quarter at about 292%. And I think it's important to mention here that the underlying business, the sale of our products, technologies, services, reagents and consumables is proceeding strongly. We see a continuous strong demand for our products and our technologies out in the fields. We see continuous strong usage of our products. At this point, we have about 9,500 publications being produced with our systems and our products out in the field. And we have an installed base of about 25,000 instruments. So with that being said, after about 5.5 years of development, we're very excited that we can continue to grow at the rate of about 15% or 60% organically. And that's, of course, something that we will continue to invest in and continue to develop our business around because we believe that as a global actor and the opportunity that we have for ourselves under this Bio Convergence agenda and the strategy, we have the ability of establishing and building a very strong life sciences player that will be able to provide revolutionary and value-driving technologies and products to our customers around the world. So this strong growth is a very good indication of how the business is performing really in quarter three. You can go to the next slide, please. With that being said, I think it's crucial and important to mention that we do have challenges, much like other businesses. And I think that we've been very fortunate over the last 5.5 years to have managed things very, very well. And even as we see ourselves now in the light of certain challenges, I want everybody to be very well aware that we are working on these challenges. And we're working around the clock to ensure that we can mitigate these challenges and turn them into opportunities that can lead to continuous value driving and providing better products and technologies and services to our customers. With that being said, of course, there were challenges that were affecting our EBITDA and it was affecting it negatively. Now, I want to talk specifically about three companies in the group that had major challenges with their supply chain and the supply chain disruptions led to these companies performing under expectations. And we are, of course, disappointed in this. We are not satisfied with the results that we've provided in these specific companies and we're going to do something about it. And in fact, we are doing things about it. And I want to be very clear about that because as we are continuing to build our business both through a quite aggressive mergers and acquisitions agenda but also through the organic growth as we're building these businesses and prepare them for continued organic growth over the years to come, it's important that we ensure that these companies perform. And of course, in the light of recent events with the supply chain challenges, we were faced with major challenges at the end of quarter three. And these challenges were hard for us to foresee. We were seeing, of course, under other industries and other players in our industry. We're coming in with reports of supply chain challenges. However, we did not anticipate the effect that these challenges would have on us for quarter three until it was, of course, late. And with that being said, we've started to put in place very strong action plan, specifically for three companies, Ginolis, Nanoscribe and Discover Echo and Discover Echo. These are the companies that were mainly faced with supply chain issues. We've continued a strong recruitment plan to ensure that we can maintain a strong production or deliveries of our supplies and meet the strong demand of our products. We are continuing to increase the inventory levels to ensure that we don't get to face these supply chain challenges in the future. We are improving and increasing our financial and our controlling procedures within the group to ensure that we can understand the challenges much faster because part of the solution is, of course, understanding the challenges that we're faced with at a very rapid level. So with that being said, I think that we're preparing ourselves for a continued growth agenda. We're doing so responsibly; we want to manage expectations. And we want to ensure that now for the next coming days, weeks and months, we're really tackling these challenges, these operational challenges that we're faced with. And we're quite confident that we will be able to start seeing a result already in Q4 and definitely coming into Q1. So with that being said, I would like to go to the next slide, please. In addition to this, we're, of course, continuing to invest in our strong growth agenda. And growth is important. I want to continue to emphasize this because there's always a balance between the growth and the profitability in a very early company. And as a company of our size and the time that we are in, -- we are continuously battling these two fronts. And growth has been extremely important for us because we're still establishing a lot of market share. We're taking market shares in industries that we're already established. We're establishing new markets with some of our products and technologies. And it's important to us to continue to invest in for the next coming years. But I want to reiterate also from the previous slide that we intend to do so responsibly. And we intend to do so by ensuring that we have full control of what we're doing in terms of when we face challenges, so we can turn those challenges into real opportunities. But we have, of course, been faced with certain costs involved in terms of increased R&D activities to ensure that we can continue to develop product at a rapid speed. And I know, Jonas, my very good colleague here in the business area biosciences, he will be covering some of these products that have been developed and launched throughout the quarter. We, of course, continue to invest heavily in our IT security to ensure that we can protect our businesses and assets. We continue to invest in integration costs so that we can ensure that we have these controlling procedures in place and ensuring that we can be on top of things. And of course, continue to invest in our strong global brand. So I think these aspects and these factors are extremely important for our future growth. But again, I want to highlight that we are doing this in a much more responsible manner. Next slide, please. With that being said, I will be handing over the word to Gusten, my colleague that will be describing the quarter in more detail. Thank you.
Gusten Danielsson: Thank you, Erik. Yes, I'll go in a little bit more to numbers and try to give some color here. I think that most of you have been able to have a look at the report, so we'll talk more about the driving factors here. But as Erik mentioned, we reached the net sales about SEK315 million in the third quarter which is up from SEK80 million last year, 292% total growth and an organic growth of about 59%. If you're looking a little bit on the organic growth to start with, as Erik mentioned, the companies that are included in this organic growth now are the CELLINK bioprinting, it's CYTENA, Dispendix, it's CYTENA Bioprocess Solutions. And for the month of September, also SCIENION. We have a few products that we sold last year that are -- that we're not selling this year. These products were related to the pandemic we had and still having but we were selling some hygiene products, some sanitizing products last year to help out with the critical situation we had then. If we would clean out for these comparative products, we would have an organic growth around 80% in Q3. And if you're only looking at the companies that we were reporting organically for in Q2, this is well above 100% organic growth year-on-year. And the reason for the slightly lower total there is that we had a really strong quarter in September for SCIENION in 2020. And therefore, that has a negative impact on the growth here. If we're looking at the business and the differences between the -- or the sales here and the order intake, we're not currently reporting order intake and backlog and that's something we're looking into doing in the future. However, what I can mention is that we saw a quite strong order intake during Q3, despite that being one of the weaker quarters of the year. And what we foresaw was that we were hoping to sell or deliver most of these products but we did have challenges in the supply chain. And more specifically, what this means is for a few examples is that we had supplies or inventory that were stuck on ships in L.A. We had specific suppliers in Europe that couldn't deliver underlying products. And we also had shortfalls in production personnel but we just didn't have enough hands to take care of and produce these products when we, in the end, might receive a few of these components and so on. And this creates a gap between the order intake and what in the end turns into revenue for us. And this, of course, trickles down to EBITDA. The EBITDA amounted to SEK33.8 million negative in the quarter which corresponds to a negative 10% -- 10.7% margin. And of course, our cost base is quite fixed here, inelastic in relation to the sales. So if we would have been able to deliver a few million euros or so extra in the end of quarter, about 70% of that drops down all the way to EBITDA and therefore, would have looked quite different. So we have a quite immediate impact from these shortfalls in deliveries, of course. The total profit or loss in this case for the quarter amounted to SEK105 million, the difference between EBITDA down to profit and down to the loss here, net loss is mainly driven by amortizations on acquired companies as well as the cost for the convertible that we have outstanding where we're reporting an effective interest rate on that convertible and about 5% compared to the coupon rate at 2.85%. The gross margin amounted to 73.1% in the quarter, up from 66.2% last year. I will go into more detail on the development of the gross margin on the next couple of slides. And also very great to see is the continued trend on the sales of consumables amounted to SEK63.1 million in Q3 which is an increase of 286% year-on-year and this amounted to about 23% of our product sales in the quarter. I'll also address a little bit of changes and developments on our balance sheet. We've seen a significant increase in inventories during Q2 and Q3. And in Q3, we increased inventories of another SEK50 million. The reason for this is to have a better position in regards of supply chain challenges that we see worldwide right now. And there, we're trying to get the critical components in and have this on the shelf and being able to be more agile in relation to what happens in the market here. We also see an increased account receivables with about SEK24 million in the quarter. This is something that's been increasing over the year. The main driver has been that we've added companies and we have an effect that you can see from that we fully consolidate the balance sheet but only for the period that they've been in the P&L which makes that, especially if you're looking on the nine months revenue compared to, it looks like we have high accounts receivables in relation to our revenue. But if looking down on a quarterly basis and specifically with the business ongoing, it looks better. But this is something that we have our eyes on and we're working with a few auditory companies to improve their order to cash process here and being able to decrease the days outstanding here. And I think we're in a good path to materialize these changes and improvements in this aspect of the company. Quickly just on the nine months as well, we see that we reached about SEK738 million nine months -- the first nine months which is an increase of 365%. And the organic growth for the first three quarters here is about 69%. And this is, of course, a higher number if we would just compare products to products, so to say. EBITDA for the first nine months, negative SEK58.1 million which corresponds to an 8% negative EBITDA margin. As we have communicated earlier, our EBITDA target is to -- our financial target is to maintain a positive EBITDA on an annual basis. And this is, of course, something that we're working hard to maintain. In terms of our profit and loss, we amounted to negative SEK200 million for the first nine months and the gross margin to 72.2%. And the net sales for consumables and reagents managed about SEK140 million. If you're looking a little bit on what's driven by -- what's driving the consumables and reagents sales here, it's mainly the companies in the laboratory solutions for bioprinting and Biosciences. And I will talk a little bit more about that later. If we go to the next slide. So what we see in the quarter is that we continue to have a strengthened gross margin. The driver here is a better product mix. We see that the businesses that we've had in the business area for quite some time here has continued pricing power. We see that they are able to charge more for their products. We have lower average discounts on the products which is a great indicator that we have a stronger and stronger position in the market. And basically, the moats from a lot of our products are increasing as we are increasing our installed base here. The way to look at this improvement, our gross margin is -- there's a couple of different factors affecting this. One is what kind of products we're selling and how much we're being able to charge for them. And of course, that aspect is how much we're paying for the cost of goods sold here but also worth highlighting here is that transactions or M&A transactions have a quite significant impact on our gross profit here. And the reason for that is there's few of the companies coming into the group have a different gross profit structure than we do. For instance, we have companies such as Ginolis and Nanoscribe that have substantially lower gross profits or gross profit margin than most of other business in the group. And then we have smaller businesses such as Visikol in the group that are very service indicated, service-heavy business, where we have very high gross profits and costs further down the P&L in this case, this also have an effect on the gross profitability. If you're looking year-on-year, we also see that we have improved gross profits because of that we're not selling any hygiene products or sanitizing products that we'll be selling last year during pandemic. If we go to the next slide. Here we see the development of our consumables that increased by 286% year-on-year and now it's amounts to about 23% of our total product sales in Q3 and on a 12-month rolling basis, we're at about 20% now. The drivers here has been a few different products where we're selling significantly more consumables than we've done in previous years. It's all the way from bioinks and tissues from, for instance, MatTek to cartridges and different sorts of consumables from, for instance, CYTENA and Dispendix that we have in the group. However, we do have a negative impact on the relation of -- in the relation of consumables versus products from most of the transactions we've done during the second half of the year here, where these companies that we added to the group are missing some consumables which is something that we have in the plans on how we can add consumables and how we can bundle these with other offerings in the group and thereby improve their relation between consumables and reagents in relation to products. No matter, we've seen a positive trend and this is something that's also been a contributing factor to the improved gross profit during the third quarter. Next slide, please. We've seen a continuous strong demand for our products across the globe. However, we've seen a lagging market in Europe compared with North America and Asia. This is our organic growth numbers for the first nine months, where we've seen a tremendous growth in the North American and Asian markets. And meanwhile, in Europe, we've seen a quite modest growth during this period. There's a few different reasons for this, where one is, of course, the pandemic that we've seen is harder to get out to labs and so on and selling in Europe. It's also more on our sales force side, where we see that we are investing quite heavily to build up the same kind of sales force in Europe to be able to better serve our customers. And it's something that we hope to see effects on in the next few quarters here. If you're looking more across the group, we have a more even growth in the acquired companies where we do deliver slightly better in Europe if you look at the acquired companies versus the organic here. And all overall, about half of our sales goes into the North American market, 35% of the European market and about 15% to Asia and rest of the world where we actually see quite strong growth. And especially for looking at rest of the world, this is driven from the Middle Eastern region where we had very low sales before and is growing quite rapidly there with the new sales office established during the summer here. So with that said, I will hand over to my colleague, Jonas from Biosciences and I'll talk to you again in the Q&A session.
Jonas Schondube: Thank you, Gusten. It's my pleasure to tell you a little bit about the business area of Biosciences today. We have three business areas. One is bioprinting, one is bioautomation. And today, we'll talk about Biosciences. On the next slide, you'll see a small introduction to what we do at, Bioscience. At Biosciences, we focus on offering easy-to-use technologies and products that facilitate smarter and faster workflows. We do that across a variety of different applications but we focus heavily on next-generation sequencing hybrid prep and sample preparation, cell line development, single-cell-omics, combinatorial screenings for drug screenings and of course, microscopy. On the next slide, you'll see an overview on where we are located internationally and globally in the business area. We have our microscopy company, Discover Echo that we acquired during the summer based in San Diego, California. We have Dispendix and CYTENA based in Germany and CYTENA Bioprocess Solutions based in Taipei, Taiwan. Across those four businesses, we have more than 250 very, very talented people that I'm honored to work with. On the next slide, I want to talk a little bit more about the Bioscience product portfolio. We have quite a lot of products in the portfolio as we have had and continued to invest heavily into R&D and have a high rate of launching innovative products. So at this point, we have a variety of different single cells sorters, such as the UP.SIGHT and the F.SIGHT. We have bioreactors such as the S.NEST that we launched in Q3 during the summer. We have cell imagers such as the CELLCYTE, the C.WASH plate washer, tipless liquid-handlers, nanoliters dispensers from Dispendix I.DOT and the I.DOT MINI. And of course, a range of microscopes from Discover Echo here on the right-hand side. And here, I want to emphasize the I.DOT technology because that is a product that is very well established and still growing really, really dynamically. The growth in the past, we've seen predominantly from the U.S. and now we see a pickup in Europe and we will target Asia more and more. And the I.DOT is also a cornerstone in some of the workflows that we work together with different companies in the group. So please, to the next slide. So -- with that being said and you've had a brief overview of what we do at Biosciences and all the exciting products and applications that we're working with. I want to spend a little bit of time talking about how these businesses work together and how we leverage some of those synergies. And I could speak hours about this but I really want to focus on a few concrete examples to give you a very good feeling on how these companies work together to drive the growth in the business. On the next slide, you see one of my favorite examples and that is really the combination of the I.DOT from Dispendix spending and C.WASH from CYTENA that built the core of our next-generation sequencing library preparation or sample preparation workflow. You can start with one of the CYTENA's single-cell sorters if you work with single cell sequencing. But really, the NGS library prep is what we believe is our core strength here in this application. And it's a very well balanced and adapted workflow from the I.DOT where we use the I.DOT for a low-volume reagent dispensing to the C.WASH which is used for cleaning the DNA in your sample and then using the I.DOT again for certain liquid handling steps. I'll spare you some of the scientific details here but we can spend more time in the Q&A if you want. But this workflow really allows our customers to cut on costs and they're very expensive sequencing reagents -- by using the I.DOT and increase the throughput by working with higher-density microworld plates. So this is ideally suited for typically Illumina customers that work with high throughput and many samples. And I want to emphasize here that the C.WASH is a product that was launched about a year ago by CYTENA. And it has been so successful in the last quarters and months because we could piggyback on the customer relationships that we have with the I.DOT users and offering this together not only offers us to access more labs but also offers our customers a more complete solution. On the next slide, you see an example of how we're starting to develop a collaboration between Echo and CYTENA. CYTENA has a product called the CELLCYTE X which is a live cell imaging microscope that lives insight and a cell incubator. And Echo has a range of cutting-edge benchtop microscopes. Together, we will join these forces and build a very, very compelling product offering in the very dynamic field of live-cell imaging. Echo has cutting-edge user experience, specifically focusing on the image acquisition. CYTENA has a strong competence in computer vision and image analysis. And if we bring these strengths together, we will generate more products in the future that will allow us to penetrate this market even further. So we're quite excited about this. On the next slide, I will start to introduced some of the product launches that we had recently. We've had quite a bit of product launches this year, starting from the very poor -- very first quarter with the UP.SIGHT and many more to come. We had the S.NEST that we launched in Q3. Here, I really only want to focus on two product launches that we recently had last month in October. And the first one which you can see on the next slide is the first reagent set for -- so Oscar, if you can move to the next slide, the reagent set C.LIVE. We're building upon this very well-working business model that we have in most of our products where we sell instruments and proprietary consumables that work very well with this together. Again, to be able to offer our customers a more complete and seamless workflow. And the CELLCYTE, for example, is a really good instrument for live-cell imaging in the incubator. But if you want to have the full workflow, you need reagents to run these. So, we're here at CYTENA, now also offering these reagents as consumables to be able to cover the entire workflow. So we're quite excited about our first set of reagents here in this application and we will certainly expand upon this in the future. On the next slide, you'll see another product that we announced last month and we're quite excited about this. This is how we see the future of automated cell line development. It's called the C.STATION. It's an automated work cell, designed around the UP.SIGHT platform. And it will allow our customers in cell line development for antibody manufacturing but also vector manufacturing for gene therapy and more and more in cell therapy and stem cell applications to really have weeks of walk away, higher throughput and a better data integrity. Our approach is here to target the market with a very versatile and very affordable automation cell. And we see the demand in the industry where people don't want to be locked into a very, very specific workflow or very expensive instrumentation because in this very dynamic field of biopharma, you don't exactly know what you need in a year or two years' time. So on the next slide, you'll see a brief, very early animation of how we envision this system to be. As I said, it's quite versatile and can be run in different configurations. And the system really uses the UP.SIGHT for the single cell cloning isolation of individual cells for manufacturing your drug. It has liquid handling capabilities to exchange media before and after a different configuration depending on the customer need and it also has the incubators, incubation chambers to grow out these cell lines. And in the end, we can leverage our software platforms to really integrate all those data from different products and guide the customers to really select the right manufacturing cells very much in the beginning. I'm not sure if you have a little bit of a delay in the video as well but here you see a robot arm taking a mitral valve plate into the UP.SIGHT, letting it select individual cells, placing the right cells into the well imaging those for the FDA and other regulatory bodies to get your drug approved, some of the liquid handling capabilities that are in there or we can feed cells and take samples to do certain measurements. And as said, the incubators for helping these cells actually grow. And in the end, it's very, very important to have this integrated data analysis that we can leverage here to see those individual cells on the right-hand side, forming nice clonal colonies that will then allow you to produce these drugs. So, what we have now is a bunch of very exciting products, the technologies are ready, the products are ready, the demand is there. What we now need to focus on is how to get all these products into our -- into the hands of our customers as soon as possible. And that leads me to the last section here on the next hand slide is how we're addressing the supply chain challenges that not only we have that the entire industry, not only our industry is currently facing worldwide. On the next end slide, you see a little bit of a view on how the status is at different companies. And for those companies that have been in the business area or within BICO, longer, such as Dispendix and CYTENA, we initiated this very, very early on in ordering critical parts early so that we are in a good position to deliver. And specifically, at Dispendix, we have now implemented over time in manufacturing to cope with the increased demand. The challenge comes specifically with recently launched products such as the S.NEST that we launched at CYTENA Bioprocess Solutions last quarter is you can only really order critical component in a meaningful amount when the design is finalized. So here, we've seen some delays in shipment and we're working closely with the suppliers to -- and expect the supply to normalize in the future. For Echo, it's a different situation. They just recently joined the group. And as a small company, they have not been able to increase their inventory so much previously. And we've realized that acted immediately but we've also seen quite some delays in shipping of that product. And we have now implemented over time in the manufacturing there as well to be able to reduce the significant backlog that we carried over from Q3 into Q4. So with that being said, thank you very much for the opportunity to tell you a little bit more about Biosciences and I'm looking forward to the Q&A.
A - Isabelle Ljunggren: Thank you, Gusten and Erik and Jonas us for your presentation. And now let's wrap this up with our Q&A session. If you're joined online, you can use the live event Q&A to the right and post your questions. And if you're calling in, you can ask questions directly to the speakers. We have a few participants who have addressed that they would like to ask questions. But first, let's answer the ones that being sent in during the call. I'll was over the first one. You did a fundraise in the third quarter which was considerably dilutive to shareholders; the rationale given was that it was for future acquisitions. Can you confirm that this is not required for working capital needs or any operational cash needs
Gusten Danielsson: Yes, Gusten here. Yes, we did an issue about SEK2 billion in the beginning of about -- in the beginning of Q3 here. And this is sold for growth initiatives with M&A, especially in mind here. At the time, we had over SEK1 billion or SEK1.1 billion in cash and short-term investments that we can liquidate and use for our working capital, if needed. During the year, we have used about SEK300 million of cash for financing our operating activities during the first nine months and additional about SEK170 million for investments in tangible assets and equipment, et cetera. So that's kind of like the investments we did in the first three quarters. There was no need to raise any capital or working capital needs. This is not a significant number that we're looking at during Q4 in terms of increases in inventories similar or during Q3 either. This share issue is solely to finance future initiatives in terms of M&A.
Isabelle Ljunggren: Thank you, Gusten. Okay. Let's jump on to the next question. Are you still expecting to hit internal profitability target as a positive EBITDA margin for this full year in line with your financial goals for 2019, 2022.
Gusten Danielsson: Yes. So we have an EBITDA target to deliver on a positive EBITDA on a full year basis and this is something we're continuously working on to achieving. And we do see that this is something that is achievable and that we're working against.
Isabelle Ljunggren: Thank you. Okay. Let's move on with some questions about our supply chain challenges. The first one is, can you be more specific on the supply chain challenges.
Erik Gatenholm: Certainly. I can start if anybody wants to add. So in terms of the supply chain challenges, much like many other companies in this industry today. We're looking at a shortage of electronic components or mechanical components. Many of course, being transported, delivered from APAC. Very specific, looking at, for instance, Discover Echo, one of the companies had components and parts that we're waiting and -- waiting on ships that were waiting to go into the ports of LA to be able to deliver these components to Echo for implementation and production. And of course, as Gusten has mentioned in this presentation already, in some of these challenges when it hits these companies. We invoice based on delivery of these products which means that if there is a shortage of components and supplies even in the last stages of delivery process or manufacturing processes products, we still cannot invoice for these systems until we get them to the customers. And for that reason, this shortage led really to a reduction in our revenue.
Gusten Danielsson: I think just a small indication that you can look at, of course, that the buildup in inventories is, of course, a big part of instruments that aren't delivered during the quarter and they end up being in inventory by the end of the quarter. So that's part of what you see there.
Isabelle Ljunggren: Thank you. Okay, we'll continue with another question that's related to the supply chain. Can you elaborate about the EBITDA level without having the issues with the supply chain
Gusten Danielsson: Yes. So, in terms of -- if looking at basically for every SEK1 million additional revenue we would have, you'd see another SEK700,000 in EBITDA. So the shortfall is quite immediate since our fixed costs are quite high and their variable costs are quite limited in relation to higher deliveries. So if we would have delivered a few million euros extra out this quarter, we would have had a positive EBITDA in this quarter. So it's a very narrow line there to -- between profitability or not [ph].
Isabelle Ljunggren: Thank you. Okay, you're buying more and more small companies. What is your overall strategy? How do you want to generate synergy effects and competitive advantages out of your acquisitions?
Erik Gatenholm: Good question. We are buying small companies, we're also buying larger companies, we're buying a mix. But what we are buying are customer-oriented companies and products and technologies that offer immediate and direct value to our users and customers around the world. With that being said, some of the small players have actually had a significant improvement or a value-driven offering to our customers, specifically to our current customer base. And I'm going to give you a very specific example here. We acquired a company called Advanced BioMatrix just a few months ago. Advanced BioMatrix is a company that produces -- develops, produces and delivers very high end and excellent bioinks and biomaterials that can be used for 3D cell culturing or bioprinting. It's a very small company, right? But the fact that this very small company now can help us improve our reagent and consumables offering for the entire bioprinting segment of our business is a great improvement. What are we doing with this Well, we are intending to integrate this as a part of the CELLINK Company which is the leading bioprinting company in the world today and it will help the company continue to grow. But to relay back to your question, we will be continuing to look at small businesses. We will look at medium-sized and large-sized businesses as well. But the fact, again, remains, we will continue to acquire companies that directly fit into a customer need.
Isabelle Ljunggren: Thank you, Erik. What is the increase in the order book, if we look at this quarter compared -- sorry, this third quarter 2021 compared with the corresponding quarter last year.
Gusten Danielsson: Yes. So we're not reporting the order book at this stage. We might be looking to this in the future. However, I can comment on that, it's a significant change, especially since last year, we only had one company that would have had a significant order backlog, order book in the end of Q3, that would be in SCIENION which works with the order backlog order book. Now this year, we have more companies with significant order backlogs and the books. Some of our companies, if you look at Ginolis, for instance, it's up to 12, 13 months delivery time. So backlog in our order book is quite large. So you're looking at an expansion of this with several -- with more than our revenue is increasing and when I say more, I mean, a lot more than our revenues increasing in size; so quite substantially.
Isabelle Ljunggren: How much of a delayed production in the quarter can be delivered in the next one as in Q4.
Erik Gatenholm: I think what's important to see here is that we have a lot higher product capacity in Q4 across the whole business, all business areas. So most businesses, if not all of them, have a higher capacity to deliver in Q4. Does that mean that we -- everything we run in Q3 is delivered in Q4. Yes but the same amount or similar amount will also, of course, have an effect going into Q1, Q2. So we're not just going to see that isolated compensated in Q4 at this stage but we see that we will have -- we have a lot better capability to deliver in Q4.
Isabelle Ljunggren: Are you aiming to delist on the U.S. exchange market.
Erik Gatenholm: So of course, we're receiving a lot of recommendations and options and there are discussions about U.S. listings or other European listings. And I think as a company, we always strive to continue our growth journey. We are evaluating our options at a continuous period as a company and we have done so over the last couple of years. I can't say more than that.
Isabelle Ljunggren: Thank you for that answer, Erik. I think we will take the last question from the ones being sent in and that is do you have any reflections, explanations on the fall in the share price since the first quarter this year
Gusten Danielsson: Yes. I mean I think that we're focusing on building the business here and we see that we've had some great success with transactions and continued organic growth during the year. And I think that this showed more especially, I guess, in our second quarter here. We had a stronger report, at least perceived by the market here. And we're not focused on the short-term share price rather than building a successful long-term business here. So, we can't really comment on the share price where it is from time to time. But overall, I think that we have a substantially healthier faster growing and bigger business going out from Q3 than we had in the beginning of the year.
Isabelle Ljunggren: Thank you for that, Gusten. And I think we will take one final question from the ones being sent in before we move over to the questions on the line. Okay. This is a long one, here we go. I think I speak for a lot of investors, if I tell you that I'm starting to get afraid that the strong focus on acquisitions is slowly wondering me whatever this doesn't happen too fast. If you want to ensure proper integrations of every single acquisition, wouldn't it be better to grow a little bit slower without that much dilutions. If you could pay the acquisition from the cash flow, the stock price would rise higher and there could be bigger acquisition with less issuing of more stocks. Growth is good but too much dilution makes it's only harder to get money from investors.
Gusten Danielsson: Yes, I think that's a really good question. It's a question of balance here all those in opportunities that we have ahead and how these can contribute to the development of the group. As Erik mentioned, there's a few of the acquisitions we've done during the year here that significantly improves our offering to our customers. And as we've been pushing and describing for quite some time, we are a customer-obsessed companies focusing on giving complete workflows and winning this marketplace. And I think that waiting to generate the cash flows to buy some of the businesses that we bought this year would make -- that we're missing some of the opportunities that we can have. So, I think it's a balance. I think that we want to -- we would like to, of course, finance all our transactions with the free cash flow and I think we'll get there. But right now, in order to capitalize on opportunities, we've assessed that this has been the most beneficial for our shareholders and the company and customers that we have today.
Isabelle Ljunggren: Okay. Thank you for that, Gusten and Erik. Let's move on to questions on the line. The first one is Jakob Lembke from ABG. [Operator Instructions] There might be a slight delay, so we might have to wait for a sponsor. But let's check.
Jakob Lembke: Hi, everyone. Can you hear me?
Isabelle Ljunggren: We can hear you.
Jakob Lembke: Okay. So my first question is on the supply chain issues. Maybe if you could sort of magnify to which the extent that sales was impacted by supply chain? And how much of this do you expect to recover in Q4?
Gusten Danielsson: I think this is similar to earlier questions we addressed here earlier. We don't -- we haven't stated an exact number here but it's, of course, in the millions of euros. I think that we, of course, these delayed deliveries are delivered during Q4. However, does that mean that we're delivering more than we anticipated from the starting Q4 number. We had our plan and that's the capacity and the delivery we expect during Q4. And then we'll see the effects of this during the next couple of quarters as our operations recovery, so to say, from the supply chain challenges and production shortfalls because, as we said, it's also that we understaffed in a few companies in production.
Jakob Lembke: Okay. And my second question relates to sort of the acquisitions you have done recently which has come at quite substantial EBITDA margins. And when we look at them to be added to your business going forward, do you expect you to sort of continue to invest in the organization there and that their EBITDA contribution will be substantially lower
Gusten Danielsson: I think that these companies, in general, we were not looking to change the dynamics of how they work. If you look at ABM, for instance, we're doing some investments to be able to serve more of the group companies and this will generate growth. But overall, we do not see that we're going to drive down EBITDA significantly or in any of these companies. And I think your instrument is the largest one here recently which is quite profitable. And from a group perspective here, we're not looking to add any cost to their structure today. The short-term low-hanging fruits in terms of synergies there are that we can offer these products together with other products and other companies, so it's nothing that we add on cost there.
Jakob Lembke: Okay. And just the last question on SCIENION. I was just wondering how that has -- how that business has developed in the quarter And maybe also to get a sense on if you believe that Q4 last year was a sort of normal quarter or if it was sort of abnormally high sales.
Gusten Danielsson: I think to start with other side there, Q4 last year for SCIENION, we reported it as a Q4 [ph] then which I think SCIENION did about SEK150 million or so in the four months quarter there. What we do see is that Q4 is the strongest quarter of the year SCIENION. I think that we, of course, have higher hopes or indications that how they will perform Q4 from Q3. And that's kind of historically how we look at it. But yes, we had a very strong Q5 than last year.
Jakob Lembke: Okay, thank you very much. That was all of my questions for now.
Gusten Danielsson: Thank you.
Isabelle Ljunggren: Thank you. And let's move on to the next person in line and that is Ulrik Trattner from Carnegie. Please go ahead Ulrik. [Operator Instructions]
Ulrik Trattner: Great. Thank you very much. Hopefully, you can hear me right.
Erik Gatenholm: Yes.
Ulrik Trattner: Great. I have a ton of question and just cut me off if you think there are too many of those. Delivery constraints, that's all fine and good. Semiconductor shortage also okay but production capacity constraints. You talked about this in Q1. I'm guessing it relates mainly to Ginolis. Is this resolved When will it be resolved And should we expect deliveries is all right but if you can't produce, you can't deliver, right So when will this be resolved
Gusten Danielsson: I think that there's -- if looking at understaffing in production, there's two companies, it's Nanoscribe and Ginolis, where we've seen that we don't have enough personnel to deliver on the orders. We have done a few initiatives here during the beginning of Q4 to improve this. And I think especially from Ginolis, we'll see some improvements here in the short term. It's also challenged with combining -- if you had under capacity in terms of not enough employees in production and combine that with different components missing from time to time and delays in those aspects. It's hard to compensate as you usually do when you have a lack of few components or so that you can have more capacity and this is real with the issues. I think that we will not be 100% in these companies in Q4, no. I think that they will take a few quarters before they're fully up and running but it's also a -- this is a symptom of very fast-growing companies.
Ulrik Trattner: Okay. Great. Just breaking out the numbers, I'm looking at SEK40 million in sales for Ginolis and SEK60 million for SCIENION in the quarter. So looking at 30% to 40% sequential decline from Q2 and the reason for the weakness in SCIENION
Gusten Danielsson: Yes. This is -- SCIENION has a significant proportion sold where we do substantial FAT, factory acceptance tests, where -- when we have point to completion recognition model here, that's when a large portion of the revenue recognized where we can validate that a full factory line is fully assembled and ready to deliver to the customer. We had a few of them in the end of Q2 which made Q2 a lot stronger. We saw continued strong order intake and sales of systems in Q3. However, when you look at the point of completion, it's -- we have a lag there in revenue for Q3. So I'd say it's more of a question on timing on kind of checkpoints in this process.
Erik Gatenholm: Yes. And I can add a little bit to that as well. I mean, looking at both Ginolis and SCIENION, both companies, very similar type of business, very similar type of products, large-scale manufacturing lines. These are really operating on a 6-month basis as compared to many of the laboratory solutions and equipment that we're providing. And I think it was clear from Q1 and Q2, the lead times, the ramp-up and just in terms of how the different orders and deliveries land, it's much more fair to look at those companies from a 6-month basis than looking at just from a quarter-to-quarter basis.
Ulrik Trattner: Okay, great. But could you help us out here remember -- help us remember what the lead time is for the different segments as well as you're referring quite a lot to order intake and order backlog. Why don't you disclose that -- those numbers?
Gusten Danielsson: No, it's a good question. The first aspect there are the lead times we're looking at from order -- from receiving PO in the laboratory solutions, we're looking at some time between 3-4 weeks, up to 10-12 weeks and generally, in laboratory solutions, Meanwhile, if you're looking at the bioautomation here which is the same in Ginolis and now Q Instruments. If we focus on SCIENION and Ginolis, we're more in the time frame three to six months for one-off products, so to say. And for full production lines, we're looking at 12 months or longer in some cases, in terms of delivery. And for your question, why we're not reporting order backlog or order intake and so on, this is something we are evaluating. We're considering it to add it on but it's more likely to be added on is from the 1st of January kind of basis, if we choose to do so.
Ulrik Trattner: Okay, great. And on to the slightly brighter side of things. Looking at the old CELLINK or CELLINK-CYTENA Dispendix, it's looking pretty good. If I'm doing my calculations right, or about SEK108 million in sales in this quarter. And since Jonas, you're on as well, you talked about delays in shipping during your presentation part, are you feeling that this strong momentum is continuing and perhaps even accelerating when these delays in shipping is resolved
Jonas Schondube: Thank you for the question, Ulrik. So specifically for Dispendix and CYTENA, we have not been hit by the supply chain challenges in Q3. And the team is working very, very hard, or the teams are working very hard to make sure that we're well set up for the coming quarters. The supply chain disruptions that we see globally will not go away immediately. So that's something that we will certainly be facing in during next year as well. We have seen a very good dynamic across the business area in order intake. The biggest challenges that we had with supply chain in the business area was with Discover Echo, where we had the company joining during the summer and them being a small company not being able to increase their inventory as we've sometimes seen it in other companies. So we're working really heavily on making sure that we mitigate those challenges and risks in the future. It's not an easy task with the teams really on top of it and working tirelessly to make sure that we source all critical components from different vendors and establish multiple sources for those components that we see are associated with a risk in the future as well. That being said, also for Discover Echo, we had a higher order intake than we anticipated during Q3 and we're working very hard to deliver most of it during Q4 and the coming quarters.
Isabelle Ljunggren: Ulrik, I think you have one more question because we have another person who will ask questions as well. And we're running a little bit over time. At the same time, I think it's important to address all questions that we receive.
Ulrik Trattner: Great, of course. Okay, last question, going back to you, Jonas, as well. This new C.STATION looks very interesting. Could you help us decipher what time costs or time and cost will the end customer save by having this installed -- install off [ph]. And what type of equipment are you replacing essentially with this new instrument or workstation
Jonas Schondube: Yes, thank you for that question. So the C.STATION is really a combination of different instruments that work very, very well together. This is all designed around the UP.SIGHT platform which will incorporate a few new features to be able to do more [indiscernible] part of the C.STATION. We're integrating products from new few instruments and also from third parties to offer really a closed complete solution here. What is the saving for the customer. The customer currently, if you want to automate and more and more bigger companies are striving towards automation. It's something that's a clear trend in the industry, currently have to go to system integrators and run a custom-made project and these projects can have time lines of 6 to 12 months. And then you, as a customer, have to use your own scientific resources to validate those automated work cells or lines. And what we develop here or currently are developing is an approach that can be replicated to many, many customers around the world that comes prepacked, pre-validated with the software package that combines all these products. So, we believe that we can get these systems a lot faster -- month faster, going and actually working at our customers and take away a lot of the risk that people face with custom-made manufacturing systems that often don't really perform as you would sketch it out on paper the year before. And this is something that we think will have a huge impact on how cell line development and cell cultures for cell and gene therapy will be done in the future.
Ulrik Trattner: Great. Thank you very much.
Isabelle Ljunggren: Thank you, Jonas and thank you Ulrik for all your questions. Okay. We have Rickard Anderkrans from Handelsbanken also wanting to ask some questions. So please go ahead, Rickard. [Operator Instructions]
Rickard Anderkrans: Hopefully, everyone can hear me okay. All right. So first question -- or sorry, I will just keep it to one question actually. So given the internal focus on resolving issues related to supply chain integration, et cetera. How should we think about the pace of M&A and focus on near-term acquisitions in the light of those internal initiatives, if you will.
Erik Gatenholm: Very good question. Good to hear from you again. As of right now, our focus is to ensure that we perform in Q4, perform in Q1, perform in Q2 and so on forth. With that being said, we will -- and as I mentioned in the beginning of our presentation, we will take a responsible approach in our M&A initiatives. We have discussed this internally quite a bit in the last couple of weeks and it's led to a more realistic and more responsible agenda moving forward.
Rickard Anderkrans: Excellent. That will be all in the interest of time. Thanks taking -- taking time for my question.
Erik Gatenholm: Thank you.
Isabelle Ljunggren: Thank you. And as we stated, this was the last question for today. Thank you, everyone, for participating. Our next report will be the year-end report and it will be released next year on February 23. So thank you, everyone, for listening in to this earnings call. Have a great Wednesday. Thank you and goodbye.